Jussi Pesonen: Dear friends, dear UPM and dear all UPM friends and audience, welcome to UPM's Quarter Three, 2023 Results Webcast. My name is Jussi Pesonen, and I'm the CEO of UPM and I'm here with our CFO, Tapio Korpeinen.
Tapio Korpeinen: Hello to everyone.
Jussi Pesonen:
Massimo Reynaudo has been appointed President and CEO of UPM-Kymmene as of first of January. But before going to that:
Massimo:
Biofore: I wish to express my deep, deep gratitude to all UPM-ers. Together we have been able to go long way together and we have reinvented UPM to the benefit of all stakeholders. It means shareholders, it means UPM-ers, it means the society and our partners and suppliers. I'm extremely proud of all that we have achieved during these last 20 years. And of course, I want to thank wholeheartedly with the former Chairman, Ehrnrooth for the support that I got from him for many, many years, and my executive team members. So very happy with the announcement and I wish Massimo and Henrik Ehrnrooth a really, really strong performance for the future. They both have an excellent track record. But now moving on to the today's agenda, UPM delivers improved profits and results from previous quarter and continues to build up long-term growth. If we compare Q3 last year, our sales decreased by 24% and comparable EBIT came down 72% to €220 million level. EBIT margin was. 8.5% for the for the quarter and EBITDA margin close to 15%. As you may recall, Q3 last year was the strongest quarter in UPM's history, €779 million of EBIT with almost all businesses reaching the quarterly record in comparable EBIT. Energy and pulp prices in particular reached highest heights. In Q3 this year average pulp price and energy prices were on the bottom levels which impacted profits in the Fibers and Energy business areas. On the positive side, in the other businesses we continued to manage margins successfully. As already mentioned, demand for many UPM products started to gradually recover in Q3 and our growth investments, the Paso de los Toros pulp mill and then the Olkiluoto 3 nuclear power plant unit contributed significantly to our deliveries. Our Q3 operating cash flow was very strong, supported by release of working capital and cash inflow from the energy agencies. Net debt decreased from both comparison periods. Our financial standing is strong. This year the business environment has been exceptional with the down cycle far beyond normal in the industry. Market deliveries of our products have been held back by the unprecedented destocking in most of the product value chains. Geopolitical uncertainty, low economic activity and persistent inflation have also impacted the underlying demand for the consumer products. We believe that the destocking in our product value chain and chains is now gradually phasing out during the second half of the year of this year. Inventories of many of our customers are already on the low side. However, operating environment remains uncertain and impacting our customers and buyers behavior. In these unusual circumstances, we have focused on margin management and implemented a wide range of timely cost and capacity reductions to maintain good performance. Meanwhile, we have been ramping up our strategic growth projects and continue to build the foundation for the future growth. But ladies and gentlemen, at this point I will hand over to Tapio for further analysis of our results. Tapio, please.
Tapio Korpeinen: Thank you, Jussi. So here we have once again the waterfall slide comparing third quarter to the one last year and to the second quarter this year. So on the left hand side, you can see that the lower sales price is explained most of the decline in the quarterly EBIT. Prices decreased in all businesses, excluding plywood. But I would say the vast majority of the negative price impact that you can see here is coming from pulp and electricity sales prices. This then impacted EBIT in Fibres and Energy business areas. In the other business areas, margins have been maintained at a healthy level. Delivery volumes increased from last year mainly driven by volumes from Paso de los Toros and from Olkiluoto 3. And on the right hand side, you can see the third quarter EBIT compared to the second quarter sequentially. Again, sales prices decreased in most business areas. This was then offset by a slightly larger decrease in variable costs and therefore margins were maintained. So as we have been guiding earlier already, this sort of positive tailwind has been increasing from the previous quarter as is illustrated in this chart.
Raflatac: And here looking at the EBIT development by business area, starting by Fibres. The third quarter EBIT was slightly in the red figures. Pulp prices were at the bottom of the cycle level for our deliveries in the third quarter, which is the main factor affecting the result. Additionally, in Finland the weak timber market and the high wood costs also played a role or affected the result. In the third quarter average pulp sales price was 43% lower than last year and 18% compared sequentially to the second quarter. Demand for pulp was good during the quarter and market prices started to recover from the bottom levels. The ramp up of Paso de los Toros in Uruguay progressed according to plan and our bulk deliveries grew by 54% from last year or 35% compared to the second quarter. The Kaukas pulp mill maintenance shutdown had a roughly €20 million negative impact on the third quarter EBIT. Then Communication Papers achieved solid results again despite continuously low demand. Margins were successfully protected by implementing cost containment measures and by adjusting capacity. So EBIT increased from the second quarter. In Raflatac, the deliveries for self-adhesive label materials increased gradually from the previous quarter and so did deliveries of specialty papers label and packaging papers. The market sentiment improved in Asia overall, which was also visible in fine paper deliveries. In both businesses comparable EBIT increased from the second quarter and the impact of lower sales prices was offset by lower input costs. In the Energy business area, the Olkiluoto 3nuclear power plant unit was now in regular commercial electricity production. Weak industrial activity in Europe has resulted in unusually low electricity consumption which then combined with the fact that the third quarter in the Nordics was quite wet, contributed then to low electricity prices in Finland. Energy's EBIT improved slightly from the previous quarter, but was clearly lower than during the energy crisis in Europe last year. In plywood, demand for spruce plywood and veneer was weak as building and construction activity slowed down, but then demand for birch plywood was good. In other operations, biofuels delivered good results after the Lappeenranta Refinery's turnaround maintenance shutdown that was done during the previous quarter. And then looking at cash flow, obviously our cash flow was very strong in the third quarter. Operating cash flow was €641 million. We released €95 million from working capital and the cash inflow from energy hedges continued. So the third quarter free cash flow then after investing cash flow out was €323 million. Our financial position continues to be very strong. Our net debt decreased by almost €200 million from the previous quarter and was €2.363 billion at the end of the third quarter. Net debt to EBITDA was 1.27. Our cash funds and committed credit facilities totaled €6.5 billion at the end of the third quarter. And here I would also like to remind you that this year we are paying our dividend in two equal installments. First installment of $0.75 was paid on the 21st of April and the second installment of $0.75 per share will be paid on the 2nd of November. And then to our outlook, which is the outlook for 2023 is unchanged. Comparable EBIT in the second half of 2023 is expected to be on similar level or increase compared to the first half of 2023. Our delivery volumes are expected to increase in the second half of 2023 compared to the first half. Destocking is expected to gradually phase out during the second half and the production ramp up of Paso de los Toros pulp mill, plus the Olkiluoto 3 power plant unit will add to UPM's deliveries during the second half. Second half of this year started with low pulp and energy prices impacting these businesses and the other businesses we will continue to manage margins. We expect variable cost to continue decreasing during the second half of the year and in addition, we are implementing measures to reduce fixed and variable costs. So now I will hand it back over to Jussi for some comments on our growth investments.
Jussi Pesonen: Thanks Tapio. That was very clear. And let's then move on to the transformative investments. Let's start with the Paso de los Toros pulp mill and here you can see the latest picture of the mill and production ramp up is progressing well. As you remember, Paso de los Toros started up and started the production in mid-April and shipments started actually only in month of May. Already Q3 the mill delivers kind of roughly 70% of its nominal capacity. As expected as we promised the mill was EBITDA positive already in Q3. In my view this is an excellent achievement given the fact that we started only in the middle of the Q2 and the pulp sales prices have bottomed of the cycle, reached the bottom of the cycle levels in Q3. We continue to target the mill to reach close to nominal capacity as the run rate -- like in that we are in the nominal capacity run rate by the end of the year and that is actually proceeding well. We actually delivered in Q3 68% of the nominal capacity. So it is actually progressing well. We are having good weeks already. Stability is not yet there on a nominal capacity, but the best days and best weeks are already there. The new pulp mill will grow our pulp business more than 50% in a high competitive way. The mill is expected to reach highly competitive, low cost levels of approximately US$280 per delivered ton of bulk once the full production is happening and the full optimization. Furthermore, the Fray Bentos mill will gradually benefit from the synergies of the two-mill concept and optimized wood sourcing improving the logistic costs also. Basically the whole Uruguay platform will then reach the US$280 cost level per delivered ton. Most of our pulp capacity is now in Uruguay where the plantation based business platform is highly competitive and offers opportunities for continued productivity improvement. And here I would like to remind us, we have been talking about it that in Uruguay one hectare of plantation land is giving us more than 70% pulp than 20 years ago. So basically the productivity gain is actually happening and 20 years is only two rotations, so it will continue. It also offers further growth opportunities in various biomaterials in the long run. Q3 was the first full quarter of normal operations at the Olkiluoto 3 nuclear power plant unit, which started regular commercial electricity production in month of May. Olkiluoto 3 increases our CO2 free electricity output significantly. We are talking about closer to 50%. In the long run, UPM's competitive and agile energy business platform will open growth opportunities in the synthetic fuels and synthetic chemicals and materials. Biochemicals, the contribution and construction of the first of its kind biorefinery in Leuna is progressing well according to a kind of revised plan that we, what we have been doing. All major structures have been erected as we speak and gradual commissioning of the refinery will start by the end of this year. So next year we will be dominating of the commissioning and of course there will be lot of activity still on some of the parts of the mill that we are actually having the instrumentation, electrification and so forth. In Q3 biochemicals also acquired a German-based SunCoal Industries with its unique technology portfolio we are talking about more than 300 patents that we acquired with the SunCoal Industries. This is strengthening UPM's patent portfolio as well and particularly related to renewable functional fillers of the mill. Commercial interest for the bio-based MEG and renewable functional fillers continued to be very strong and we announced the first large scale contracts with Dongsung, the South Korean company and then Brenntag, a German company to be our distributors for the for the product. Here you can see few pictures from the refinery. Then as I have always said that we need to protect our profitability and our performance, this is moving to our measures to ensure our competitiveness and let's start with the Communication Papers which continues to adjust its capacity and cost to meet profitable customer demand. We closed down two paper machines by the end of second quarter with the total capacity of 485,000 tons. In July, we announced a plan to close of our whole Plattling mill in Germany with a capacity of close to 600,000 tons. Last week the participation process and the wide negotiations with the employee's representative this was concluded and the mill will seize production during November this year. Together with these closures, we'll reduce capacity by almost 1.1 million tons during the 2023 which is representing 18% of UPM's communication paper capacity. The annual fixed cost savings will be totaling around €100 million. We continue to manage margins and take measures to reduce variable and fixed costs in the other businesses and functions as well. Such measures include both temporary and permanent closures as well. The decided actions over the past 12 months within UPM, the operating model is actually supporting that. We started already to take cost measures already a year ago starting from September last year and that now is actually kind of getting together a personal reduction of 1400 people, including the capacity restructuring shown in this page. The positive long-term drivers and growth prospects for UPM are intact and exciting. We continue to work with long-term growth and our focus areas remains unchanged. Now we have completed major growth step in Fibres and Energy as Paso de los Toros is ramping up and Olkiluoto 3 is in regular commercial production. Next all steps will most likely be on the right and left wing of the picture, starting and scaling up the biochemicals business, completing the basic engineering of Rotterdam biofuels and looking for the next growth steps in Raflatac Specialty Papers. In Fibres, spearhead of growth part, we will continue to develop our business platform based on the raw materials and therefore the raw material sourcing and raw material kind of focus will be for the future. When the company is having a bankable raw material supply with low cost then it is easy to make decisions for the next big investments. Next slide, we'll show our CapEx estimate for this year. Our CapEx estimate is €1.1 billion. This is clearly down from last year, but somewhat higher than what we earlier estimated. This is due to timing of the CapEx items, mainly related to Leuna biorefinery. We have made good progress in the project and some of the CapEx items are now expected to take place already this year instead of early next year. Next year our CapEx will decrease significantly from this year and of course we are coming back to that in our January meeting and then giving you kind of clear number for 2024 as we speak. Our transformation continues as you can see from this picture. Our biggest investment, the Paso de los Toros pulp mill is now ramping up production and coming from investment phase to a contribution phase. Leuna is making good progress and we continue to prepare the next steps in UPM. Meanwhile, as discussed today, we continue to take care of the competitiveness and we do have a focus on performance, protecting profitability and cash flow from Communication Papers. And this slide will complete the prepared part of the presentation. Dear operator, we are ready to take questions.
Operator: Thank you. [Operator Instructions] The next question comes from Justin Jordan from Davy. Please go ahead.
Justin Jordan: Thank you. Good afternoon everyone. Firstly, I just want to say congratulations to Massimo and clearly to Jussi, thank you for 20 plus years of transformational leadership as CEO and clearly best wishes for the next chapter of his business and influencer. I've got two quick questions if I may. Firstly, you talked in your prepared remarks about destocking gradually phasing out. Can you give us a little bit more color as to what you mean by division, I'm sort of thinking that's the part Communication Papers, specialty paper et cetera. And secondly, specifically in Communication Paper were clearly I suppose comparable even was substantially ahead of consensus expectations today. Can you give us some insight as to how you've managed to achieve higher margins every year in Q3 in communication paper despite clearly volumes being down 28% in Europe year-to-date for the industry and clearly lower prices here, it's sort of a remarkable performance given the challenging markets and I'm just wondering if you can give us some more color on that? Thank you.
Jussi Pesonen: If Tapio takes the first and I will try to answer you with the second.
Tapio Korpeinen: Yes, well let's say taking Raflatac as an example, like we have discussed earlier as well, we do see when you kind of compare sequentially quarter after quarter that the sort of volumes are coming back gradually, but still coming back, so like again in the third quarter we saw for if you look at the sort of industries shipments and statistics for labels stock or self-adhesive materials, then in Europe we saw sort of 4% to 5% sequential improvement, in North America sort of 7%. Then of course in in Europe, it's good to remember that seasonally typically third quarter is down because we have the holiday, August month, so kind of correcting for that. Then the developments in the sense one could say similar to what we are seeing in the U.S., so clearly there is a positive development and I think again, that is what we expect to directionally see going forward as well. Also sort of positive development in the Asian markets, which then was impacting our specialty paper business including the fine paper business in Asia and in our Changshu mill, so therefore then let's say if you look at again the volumes for specialty paper sequentially for the business area as a whole, improving. So I think there you can see the sort of evidence. So far what we can see, let's say in talking to our customers and let's say looking at the evidence in a sense that we have visibility in the value chain is that the sort of any safety stocks or in excess inventories that we can see have been sort of largely consumed and now then perhaps what is kind of the way the customers manage the business is that they are taking the volume that they need and of course the world is uncertain still in terms of what is the trajectory at which we will sort of move on from here. So that is perhaps then keeping the sort of customers or sort of meaning that the customers keep their inventories still in this sort of environment kind of lean. But they are taking now volumes as they see their business sort of coming out from this destocking cycle.
Jussi Pesonen: And then Justin thanks for your kind words to me as well. But this why and how Communication Paper business has been managing margins and made a good result for the quarter, it was doing that for the second quarter, it was doing that for the first quarter. It's a long journey. First of all, the main decision was that we in UPM felt that the Communication Paper business is important part of UPM and especially free cash flow focus where the incentive schemes and all has been put in place that we are having a clear, what we want to do with the Communication Paper business which has been funding many of our growth businesses. Operating model I remember times when people were saying that when UPM was dividing pulp and paper into different BAs, people were saying know without pulp we wouldn't be competitive. But bit by bit with long work, lot of work on optimization that we have been doing, so it is a business mix, product mill mix, how we run efficiently our mills, long-term optimization, in our back office restructuring we have been restructuring all of our back offices. We do have a big hub in Poland now that is serving a lot of our back office things in UPM. Cost control, in variable cost we are doing products, same products with lower cost fixed cost measures. I can list many of this. There's no kind of one trick pony. It has been several things but this is now yielding to a situation where there has been many exits from the business. The business platform is good for us and especially the mix, how we run our operations and the mass impact that we have there. So it's a long, long actually way of how we have been trimming the business. But I guess that the first point has been that it is important part of UPM and enabling the growth initiatives and transformation in other parts of UPM.
Justin Jordan: Thank you Jussi and Tapio.
Operator: The next question comes from Johannes Grunselius [DNB Markets]. Please go ahead.
Johannes Grunselius: Yes. Hi, everyone. It's Johannes Grunselius here at DNB. I have a question on your near-term outlook in terms of profits and it's the same as you had after Q2. You're talking about flat or higher H2 EBIT versus H1. But if the earning is going to be flat, I mean it just implies a small uplift in earnings Q4 versus Q3. So could you shed some light on that? Are you very cautious on the unchanged outlook or do you foresee sort of any headwinds whatsoever in any area in the fourth quarter? Thank you.
Jussi Pesonen: I guess that now Tapio might actually add on it, but if you read clearly our outlook it is saying that similar or improved, so that is actually and the confidence is there that we will actually achieve that.
Johannes Grunselius: Yes, okay, I was just thinking about that you kept the word similar, but yes, maybe that's for everyone's interpretation.
Tapio Korpeinen: Yes, I mean of course the outlook kind of includes the full range as it did when we gave it out in the end of the second quarter, but good progress I would say towards delivering on that so far.
Johannes Grunselius: Yes. Then on pulp, I think you mentioned you say that you were at 68% in the third quarter deliveries versus nominal capacity. Could you help us a bit where do you think you can be in the fourth quarter?
Tapio Korpeinen: Like we have said that by the end of the quarter we will be on the nominal capacity when it comes to production. That is our aim. That is our kind of progress is actually towards that and the confidence is growing every day. Like I said that there has been quite many days, first months after the startup that we have already reached that level and now also we have on the weekly base had that. But of course on that kind of startup you are having kind of stability of the production is not that high, but quite confident that the balance of the mill is good and means that there are no such items that would actually kind of stop us not to be there where we want to be by the end of the year.
Johannes Grunselius: Okay, sounds good. Thank you so much.
Operator: The next question comes from Ephrem Ravi from Citigroup. Please go ahead.
Ephrem Ravi: Thanks for taking my question. Two kind of micro questions on finance. Firstly, how does the tax rate potentially change with the Paso de los Toros ramp up? I understand that it's a fixed 7 million tax paying because it's located in a free trade area. So does that mean that the overall corporate kind of tax rate will decrease as Paso de los Toros becomes a greater proportion of your profits over the next two years? And second, just on the power business, correct me if I'm wrong, but the realized price this year has been lower than the average spot price by more than the usual amount. Obviously 2022 was also the same, but that was an extremely high power price. Will the expansion in OL3 into the Finnish power market structurally depress the power prices? So to that extent you should be getting lower power price in the future because it's now become an oversupplied market, would that be a fair conclusion?
Tapio Korpeinen: Well, first, perhaps if I comment on the first question, let's say typically if you sort of look back, our kind of realized tax rate has been somewhat lower than the Finnish corporate tax of 20% in Uruguay, as you said, we have a, let's say, effective tax structure, which is one of the reasons. And of course, that is a benefit that we'll have from Paso de los Toros as well going forward. Then on the power business, let's say again, what we can expect is that the volatility will increase. There will be, in a sense, in the Nordic market and the Finnish market, like we have seen, moments where the market is oversupplied and moments where the market is very tight. It's good to remember that this year, as I was saying earlier, the electricity consumption in the Nordic area, in fact in Europe and Northern Europe as a whole has been very low, historically speaking and then it's been very wet. Actually, the third quarter was the wettest quarter in the Nordic area since 2003. So those have been this sort of shorter term factors that have been then impacting the sort of demand, supply balance. Of course, now we have Olkiluoto 3 adding to the capacity. On the other hand, similar amount of capacity exited when the Russian imports to Finland stopped. In the meantime, there's been wind capacity built in Finland and in the Nordic area as well. So what it means is that when it's wet and windy, there's plenty of power, when it is not, then we have a very tight market. So, like, even now, in the recent days, we have seen clearly in the three digit per megawatt hour power prices here in Finland. And let's say in the previous days we have seen negative prices as well. So that's kind of the new normal. The benefit we have in UPM is that we have hydro where we are creating significant value by trading during the highest priced hours and days and then we have emission free cost competitive nuclear power as well.
Ephrem Ravi: Thank you.
Operator: The next question comes from Linus Larsson from SEB. Please go ahead.
Linus Larsson:
Massimo:
Jussi Pesonen: If Tapio you take the capital allocation, I'll talk about the Rotterdam.
Tapio Korpeinen: Well, let's say in the Leuna CapEx we have not disclosed, but what we said earlier was that this Leuna and Paso were €750 million, now up to €900 million. And as Jussi was saying earlier, main reason for that in a sense is timing for the Leuna then outflow.
Jussi Pesonen: That is correct. And then when it comes to Rotterdam, there's plenty full of work. It is a completion of many things. It’s how do we actually have a bankable wood and raw material sourcing for the mill where there's a lot of activity ongoing. Then we talk about the technology, where we have been a lot of innovation going on, but of course kind of learnings from the Lappeenranta facility we do have the mill area already under preparation. It is the markets; it is the whole concept of how we are running. That is work. There's a plentiful of work ongoing and when that work is then ready somewhere in next springtime, then we are starting to become in the position that UPM can start to think about the investment possibilities or then decide whether go forward or not. It looks very good at this point of time. It is a business where there's a lot of potential and if we only think about aviation fuels, it's a huge demand coming for the future also bio-based and then synthetic-based fuels for that. And therefore we are really in the pole position because we do have this decade will be most probably maturity. It will be bio 2x i.e. that kind of fuels and synthetic fuels will come only next decade where we do in UPM have a lot of biogenetic CO2 coming out of our pulp chimneys and pulp mill chimneys and then we have a lot of CO2 free energy like Tapio said, hydro and nuclear. So well positioned and therefore the Rotterdam is important to be developed to that stage that we can take the decision. Lot of work is going on in all sectors of that basic engineering phase.
Linus Larsson: Sounds good. Thank you very much. And just to follow up then back in July you kind of indicated that CapEx for 2024 would be by and large around the depreciation of €600 million. Is that still a rough and fair assumption?
Jussi Pesonen: That is a fair assumption. Of course you could say that when now the timing issue that somewhat more investment this year that it would be lower, but we will come back to that 2024 kind of guidance in our January meeting. But like -- by and large you can say that it is on the depreciation level.
Linus Larsson: Great, that's very helpful. Thank you.
Operator: The next question comes from Ram Kamath from Barclays. Please go ahead.
Ramachandra Kamath: Hi, thanks for taking my question and best wishes for Jussi. I remember a couple of quarters back you alluded a new era is coming as paper market won't be as same as past 20 years or so. I would like to hear from you what has changed in paper business over the years and how it is evolving considering the margin you maintained or improved in this paper business.
Jussi Pesonen: This is going to last for two hours now. This is an excellent question, but there's many things in the paper markets. Of course there is lot of exits as well. There have been many companies that have lost their kind of faith for the business in a way and they are closing down and converting those assets into the packaging area, which is actually of course helping that the kind of consolidation happens through exits rather than typical consolidation. So that is actually helping a lot that there will be fewer players and it will be much more clear. Then of course we have done a lot, as I explained earlier already, a lot of kind of things that even in the kind of circumstances that we are today, we are able to keep the margins and optimize our production portfolio and business mix in a way that we are generating good free cash flow which is the aim of the whole business. Lot of things that we have been doing not only in the production sites, which is typical what outside in view is, but also like in the back office costs that when the business gets smaller, we need to be much more efficient on the back office operations and that we have been doing a lot of work. We have moved a lot of kind of activities to kind of hubs. For example in Poland where we are having a big hub of doing efficiently, everything digitalization is helping us, so there's multiple things that we do for the business. Maybe this is a short answer to your question.
Ramachandra Kamath: Thank you. And on the pulp business, it looks like China demand is coming back and growing while European market remains subdued. Do you see pulp moving more towards Asia now and does impact realization even for coming quarters?
Jussi Pesonen: Pulp demand is a function of the kind of general economic development. So it's a kind of following that and the correlation is quite good. This only shows that in Asia and in pulp, Chinese market has been pretty good for this year. In pulp markets last year was a kind of destocking year when the kind of pulp demand was lower and this year it has been clearly higher than that of last year. We are talking about almost 2 million tons more deliveries this year than that of last year. Europe is very much related to economic development where we now see that the customer stocks and the board stocks are getting lower and therefore we are going to see somewhat better demand actually for Europe as well. But it is very much related to general economic development.
Ramachandra Kamath: Okay, thanks. And if I may last question on this wood prices, it looks like the wood prices remains high and apart from this import restriction from Russia and lower supply is still remain resilient. Do you see any other reason why continue to be so resilient and put pressure on pulp producers?
Tapio Korpeinen: Well, maybe I'll start by commenting like the last time, that it's good to remember that 60% of our pulp capacities in Uruguay where we have good control over the wood costs and expect them to improve going forward. But then here in Finland, of course, the wood market is now in a sense or has been tested by the fact that you mentioned that Russian deliveries no longer are there for the not only Finland, but the Nordic area as a whole and there has been also investments made which increase the industrial and energy wood consumption. So that's in a sense what has been sort of testing the market or the market has to adjust to of course the fact that we see construction activity down affecting wood products industry then that will have an impact on the wood markets as well. So perhaps we have seen the peak as such, but still, as said, it's kind of moderate in a sense relief perhaps in the short term that one can expect because again it takes some time before kind of the new equilibrium is found.
Ramachandra Kamath: Thank you very much. Very helpful.
Operator: The next question comes from Andrew Jones from UBS. Please go ahead.
Andrew Jones: Yes, thanks gents and I'll say congratulations again to Jussi and your retirement. I think, I just want to capture some of the dynamics into 4Q. We've talked quite a bit about Paso and the volume ramp up there and obviously pulp price going up, but just in some of the downstream businesses you've obviously talked about half and half declines in cost. But I'm wondering how costs evolve in some of those downstream areas between 3Q and 4Q given obviously pulps rising, I guess energy costs are ticking up again, you just talk through the quarter-on-quarter cost trends and what sort of quantum of improvement you're expecting in volumes in some of those businesses and maybe in the more obscure areas maybe a comment on price. Thanks.
Tapio Korpeinen: Well, if I sort of comment, we don't sort of disclose any quantum so quantitative data obviously. But first on your question on costs, like I was saying earlier, that already in the beginning of the year we said that we will, we are expecting tailwinds which will sort of add momentum through the year as they have so far done. We didn't see the impact on the bottom-line in the first quarter yet we did see that in the second quarter and now a larger impact in the third quarter and we would expect still obviously tailwinds from variable cost in the fourth quarter as well. Having said that, the sort of positive news is like we have discussed earlier, that we think we are past the bottom levels as far as pulp and even energy is concerned. So in a sense that kind of momentum on those particular items on the cost side as an improvement will be somewhat less. But then that means that our, let's say top line on those businesses, pulp and energy should and will sort of improve. There is some time lag though in a sense that let's say for instance in the case of pulp, before we see the cost benefit in the pulp consuming businesses, there is a bit of a time lag there.
Jussi Pesonen: And prices we don't comment for the future.
Andrew Jones: And on the volume side, any feeling about the sort of trend you talked about destocking gradually phasing out, but we didn't see much improvement in some things like Raflatac and I guess Company was still weak. Are you expecting volume improvement in some of these areas in the fourth quarter or stable at a similar sort of low level or we see even further declines?
Tapio Korpeinen: Well, I'd say I would say the direction, of course, in the sort of growth businesses like Specialty Papers, Raflatac, also pulp markets. We would expect to continue, in a sense to be positive, like I was commenting earlier on this sort of self-adhesive value chain. So that's in a sense the direction of travel there.
Andrew Jones: And Compay?
Jussi Pesonen: We do not have a kind of comment to that, that it is actually gradually going to the right direction as well.
Andrew Jones: Okay, thank you.
Operator: The next question comes from Cole Hathorn from Jefferies. Please go ahead.
Cole Hathorn: Good afternoon. Thanks for taking my question. Jussi congratulations. I'd like to ask on the Biochemical facility, just a follow up on the infrastructure that you're putting in that facility in Leuna. Are you putting in and building it with the optionality to potentially do further brownfield expansions on that once you've successfully ramped up the initial project is the first question. And then the second question is on capital allocation. You've got CapEx down next year and your free cash flow, if things improve, should be good. And you talked earlier this year about potentially allocating capital to buybacks. I'm just wondering how you think about those buybacks. And would you wait until you have line of the refinery investment before you make the decision on buybacks? Thank you.
Jussi Pesonen: Yes, obviously it is very clear to us that when we are now actually building the plant in Leuna, there's a lot of activity ongoing. But obviously we think about how to expand, whether it is in Leuna or whether it is in other locations is under consideration. There's a small team that is already thinking about that, what will be the molecules, what will be the kind of the opportunities and where. But of course, the focus is very clear. Let's now build the mill and then ramp up it as efficiently as we possibly can. So yes, there's a kind of consideration how to actually move on whether it is in Leuna or somewhere else. And that was maybe Tapio takes the second question.
Tapio Korpeinen: Yes, maybe one can sort of answer that question. In a sense, that like you said when we announced or communicated our new dividend policy, and in a sense, our kind of view in terms of capital allocation, including distribution, to the shareholders and the buybacks that you mentioned. Obviously, that was, in a sense, talking about the framework that we see in front of us then. And let's say we talked about the possible cycle around investments and so on, and how this sort of investments in growth dividend buybacks might fit in there. At the moment as said, our financial position is very strong, balance sheet is very strong, liquidity is very strong. At the same time, obviously it's clear that now our focus is on performance, getting cash flow and performance up from what we have seen in the previous quarter here. So I think after that of course then it's a better time to sort of take a view in terms of what is the timing of CapEx and other than uses of capital. Obviously we aim to have a steady positive kind of development on dividends. What else there will be. I think that again, the time to think about that will come when we are seeing also a strong sort of turnaround on financial performance overall.
Cole Hathorn: And then if you allow me a follow up top, Tapio you mentioned the commentary that if construction markets cover we see more sawmill activity and you'll get better availability of wood chips hopefully to lower kind of the wood costs to your pulp mills, et cetera. But should we be thinking about anything else in the market like demand for any wood or things like that across your various regions that are going to keep wood costs higher for longer?
Tapio Korpeinen: Well, I would say that let's say as we talked about, we have a kind of a specific situation here in the Nordics which I sort of talked about then. Well, I also mentioned Uruguay. So there we have things very well under control and in Germany basically which is kind of the third wood basket for us there. Particularly now when we are thinking or looking at ramping up the Leuna facility there we are tapping into a underutilized wood resource, the Broadleaf beach forests in Germany which are today largely utilized for firewood which obviously is a low value use for that wood. So in that sense we are, as said, in a kind of an underutilized market structurally there as far as the wood supply is concerned.
Cole Hathorn: Thank you very much.
Jussi Pesonen: Ladies and gentlemen, I guess that we are ending our conference call today. Hopefully this is not my last, it might be my last. I'm not sure yet that whether I participate in January as well. But thank you for everything we will see in the market. I will be still meeting you all over the place, for the next coming five months actually, so nice to have you and this is the end of the call. Thank you.